Operator: Good day, everyone, and welcome to the Ubiquiti Networks Fourth Quarter and Fiscal 2013 Q&A-Only Earnings Conference Call. This call is being recorded. [Operator Instructions] Now, I would like to turn the call over to your host, Vanessa Chan with Investor Relations. Please go ahead, ma'am.
Vanessa Chan: Thank you, operator, and thank you, everyone, for joining us today. I'm Vanessa Chan, Investor Relations for Ubiquiti Networks, and I'm here with Robert J. Pera, Founder, Chief Executive Officer and Chairman of the Board at Ubiquiti Networks; and Craig L. Foster, Chief Financial Officer. Before we get started, let me review the Safe Harbor statement. During the call, we will be making forward-looking statements that are statements other than statements of historical fact, including but not limited to our strategy, estimates, projections, revenues and EPS. Forward-looking statements are statements of risks and uncertainties that could cause results to differ materially or cause materially adverse effects on results. Please refer to the risk factors discussed in our SEC filings and in the press release. We do not undertake to update in light of new information or future events. In addition, references will be made to non-GAAP financial measures. Information regarding a reconciliation of non-GAAP and GAAP measures can be found in the press release that was issued this afternoon on the Investor Relations section of our website at www.ubnt.com. We hope by now, you have reviewed management's prepared remarks and commentary which are posted in both audiophile form and text transcript on the Investor Relations section of our website. This call will be Q&A only. [Operator Instructions] Operator, let's have Q&A instructions and open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Erik Suppiger with JMP.
Erik Suppiger - JMP Securities LLC, Research Division: So a couple questions here. First, just on lead times in the quarter. You've been working towards getting those down. Obviously, you had some pretty good demand. What progress did you make on the lead times' reductions?
Robert J. Pera: Well, in the area where we're having kind of unprecedented expansion of the business, lead times are currently, for last quarter, were relatively flat. But going forward, we continue to work on optimizing and finding ways to bring those down a little bit.
Erik Suppiger - JMP Securities LLC, Research Division: Okay. On the new platforms, you had highlighted UniFi. I presume that's your largest of the new platforms. But can you give us a sense for the other products within there? Can you at least prioritize or segment which ones are largest to smallest? Or else can you give us a flavor for how the individual products are doing?
Robert J. Pera: Well, I think airMAX is our largest contributor just because it has the most momentum. It's been out several years now. UniFi is really, I'd say, in its third year shipping. It's catching up quick. I think the latest Gartner report placed us fourth in volume shipments. I believe we can overtake Cisco next year to be #1 in enterprise managed AP volume shipments. I think the next platform after that, airVision, I think that's going to have a big year next year. And our other platforms also will start contributing higher percentage with time. They just need more runway.
Erik Suppiger - JMP Securities LLC, Research Division: You mentioned the UniFi and reaching #1 market share. What market share do you think you need to achieve in order to exceed Cisco? And are you assuming that pricing on that UniFi was really consistent?
Robert J. Pera: Well, everything is -- yes, so my statement refers to volume shipments, right? So UniFi, in just a short period of time, we've shipped hundreds of thousands of APs. It's very close to being, I think, 1 million total shipments. And the last Gartner report places us fourth in volume shipments. And like I said again, I believe in calendar year 2014, we will be the #1 -- by the end of calendar year, we will be the #1 volume enterprise managed AP shipment vendor.
Erik Suppiger - JMP Securities LLC, Research Division: And is the assumption there that your pricing would stay relatively consistent with where it is right now?
Robert J. Pera: I don't think UniFi is only driven by cost. There's lots of people that make cheap stuff. We don't make commodity products you find in stores like D-Link, Linksys, Netgear, those brands. UniFi was -- there's a lot of R&D into the user experience, the hardware, the software cohesion, the management software, the feature set, the reliability, the performance. And as a testament of the kind of user experience and performance of the product, it's a small R&D team without any sales or largely any marketing budget has come out of nowhere, and we're in fourth place now. And like I said, if we can take the #1 spot next year, I think it's -- kind of validates our model and how we attack markets.
Craig Foster: And Eric, you mentioned what are we going to do with pricing? I mean, when we enter these markets, we're focused on disrupting the market, so that we can own the market. So in terms of our pricing that you see today, I don't see a monumental change from where it is.
Operator: Our next question comes from the line of Tal Liani with Bank of America.
Tal Liani - BofA Merrill Lynch, Research Division: I have a few questions that are at the high level and then some more product-specific. So first is what happened that drove up the numbers so much, including the guidance? Is it more macro-related or is it more something you have done to the channels that is driving up demand? I'm just trying to get to the source of the positive surprise.
Robert J. Pera: Maybe I could take this. So the business has always been good. So I know the optics of our earnings reports, we had a dip last year, and we went through a lot of adversity, largely with these legal issues, counterfeiting issues. And I pretty much, more or less, took the company -- the control of the company back from some guys that didn't know what they were doing. So now I'm in charge, things are -- we've addressed our deficiencies and we're going to kick butt here. I'm focused on growth.
Tal Liani - BofA Merrill Lynch, Research Division: Is this -- so when you say good execution, can you be more specific? What are the areas? Is it more about how to manage the sales process or the channels? Or is it -- I'm trying to understand the drivers and trying to distinguish between the availability of new products we spoke about, enterprise WiFi and -- so between products versus go-to-market or channels?
Robert J. Pera: Well, okay, it's across the board. So look at what we've done the last year. So the management team has been revamped, we have a new discipline in operations, we have inventory hubs. We've shrunk the lead times down, so our sell-in is more correlated with sell-through. We have -- finally, we have discipline now in how we treat accounts receivables. Our days sales outstanding is at a record low, 32. We've went on a very aggressive tear on the litigation side, and we've largely confined the counterfeiters. We're putting together a global IP strategy. And all those things added up just makes us a much stronger company. And I think our brand and our momentums, our customers, how they're applying the technology, nothing has changed. Everything is still the same. It's just the -- we just cleaned up and plugged the holes and we're returning to being more aggressive and proactive instead of reactive in the past year, trying to plug the holes.
Tal Liani - BofA Merrill Lynch, Research Division: Okay. Second question is can you give us some -- can you discuss gross margins? Gross margins came out much better than I thought, and I'm -- I'd like to just understand the puts and takes, volume versus mix, et cetera?
Craig Foster: Yes, to be honest, it's a combination of both. So we work with contract manufacturers, so there is some leverage that we get because of our flexible model with them. And then the product mix also changes. So this quarter, we had a great quarter across-the-board, but airMAX had its -- pretty much its all-time high. And as we've discussed in the past, more of our mature products have a little bit higher gross margin profiles.
Tal Liani - BofA Merrill Lynch, Research Division: Last question is to understand the outlook for products. When you look at the next few quarters, maybe up to 2 years, what is going to drive up growth on the product side, not that there are anything else you're doing? What's going to drive up growth in your view? What do you plan for product launches? And again, if you can give out the specifics maybe just to understand the logic or your thinking about product launches?
Robert J. Pera: Well, I'm not going to give any specifics, but I will say one thing about this company that's very unique. We have a community of operators that are in the tens of thousands on a global basis and they're growing. And these guys aren't carriers. They're very ambitious, hungry entrepreneurs in developing areas of the world. We're bridging social inequality at very fast pace. We have well over 10 million subscriber stations on roofs around the world, bringing connectivity to people that -- in underserved markets. And these guys are very aggressive, and they want to grow their businesses. And what we have to do is feed them. So we're going to come up with new technology platforms and new applications for them to get bigger, and we're going to grow this community further and faster. And we have some strategies to do that. And I think it will be interesting over the next year, 2, 3 years to see the growth.
Craig Foster: I think also coupled with that, there's also a technology refresh cycle that's happening with 802.11ac, and clearly, we have the big stake in that refresh cycle going forward.
Tal Liani - BofA Merrill Lynch, Research Division: How does -- so last question, about -- the last 2 questions kind of summarize, how is the -- how will the gross margin profile change with all the changes you spoke about? So new products, some refresh cycle for ac, higher volumes. Does it change the gross margin or can we just make the assumption that high revenues equals higher margins?
Robert J. Pera: Well, another unique thing about this company is we've never dropped the price of a single product in the history of the company. So we go into markets and we disrupt the markets and there hasn't been a need to drop pricing. And so as we scale and volumes increase and the operations cost, as a percentage of cost of goods, become smaller, I think you'll see an overall improvement in gross margins. What are we at now, Craig, 40...
Craig Foster: 44, gross margin.
Robert J. Pera: 44. Yes, and that's up a few basis -- a few points, right, over...
Craig Foster: Little bit over [indiscernible].
Operator: Our next question comes from the line of Matt Robison with Wunderlich.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: I want to start off by asking a little bit – for a little more detail on the WISP industry because it's stunningly strong here both for airMAX and antennas and other products. Can we start -- is it getting to the point where you can start to characterize the size of top customers? Or is it still so fragmented, we don't really have too much ability to characterize what a relatively mature and successful WISP looks like?
Robert J. Pera: Well, I think if you go to our forum, right, everything's transparent. So we have a couple hundred thousand members in our forum, and most of the operators are exchanging messages. And we have, across the gamut, we have guys that are just starting with maybe tens of customers and we have guys that have gone from tens to hundreds, and guys that are now hundreds to thousands. And I think there's quite a number now with thousands or low tens of thousands of subscriber stations out there. In aggregate, these numbers become pretty big.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Yes, so obviously, the forum is a wonderful resource for that. Do you have any that are, say, north of 2% or 3% of revenue in a given quarter?
Craig Foster: No.
Robert J. Pera: I would -- yes, no.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. And the other -- so next question is, on the new platform, still have not exceeded the level achieved back in the first quarter on the new platforms, which is kind of surprising, given all the progress that's been made. Is that because version 3 has taken a while to ramp up and airVision really hasn't been reflected yet? Or obviously -- nice sequential pattern obviously in the June quarter, but can you comment a little bit on when we -- what the factors are that are keeping it from getting to the level you already achieved on your platforms?
Robert J. Pera: Yes, I think UniFi demand is increasing very fast. And if you look at the DSO number of 32, it is very low, which is good. But we need to ship faster. That's not a healthy number for high growth. We'd like to see it more in the 40s. And I think a lot of that is fulfillment with UniFi. So I think over the next few quarters, we're going to have to execute a lot better in ramping up to meet UniFi demand. And I think when we do that, you'll see pretty strong increases in, particularly, in UniFi growth.
Craig Foster: And Matt, just as a point, the one quarter that you're referring to, that was the quarter that we introduced airVision. So when we do bring a new product, given the size of our distribution network, there is a stocking up component that happens here.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Fair enough. Now, I guess, back to airMAX a little bit. I think the airMAX product line's a little over 4 years old now. Outdoor equipment like that, you tend to think of a refresh cycle on around 5 years or something like that. So -- and Craig, you mentioned ac, so should we be expecting something along those lines sometime during fiscal '14?
Robert J. Pera: Yes. So what's the product cycle? What's it for airMAX AC? I would say we launched UniFi AC, we're shipping it now. airMAX AC, I think you'll see it before the end of the year or the end of calendar year.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay, very good. And then a couple weeks ago, maybe 3 weeks ago, you started a store for U.S. customers for UniFi and airFiber. And maybe give us a little flavor as to how that fits in with the strategy, and then I'll let somebody else ask a question.
Robert J. Pera: So the store, I think our airMAX distributors, overall, they've done really well in serving the WISP market. But as we move to newer platforms in different markets with different system integrators, we felt that having a store would be advantageous to kind of jump starting sales and demand. So if you notice our store, we don't have airMAX on there. Right now, it's just UniFi, airFiber, and as we launch new platforms, we'll make it available on the store.
Craig Foster: And Matt, just so you know, the store is -- it's U.S. only, and we actually had a store before. So it's not like this is a change of strategy, because we were selling airFiber before on our store.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Yes, yes. I remember back in June of last year that's where -- how that got cranked up. So we brought the store on to sort of enhance the distribution, and it seems almost like you may be challenging some of your distributors to step up a little bit too. Is that part of the takeaway here?
Robert J. Pera: I wouldn't read too much into that. Like I said, we set up the store to help jump start new product platforms and new markets, because we have such great traffic through our website and our community.
Operator: Our next question comes from the line of Tavis McCourt with Raymond James.
Tavis C. McCourt - Raymond James & Associates, Inc., Research Division: Robert, a couple for you, and then a couple of financial ones for Craig. First, in terms of the WISP market, there appear to be at least 1 or 2 competitors now with, at least on PowerPoint slides, similar products to airMAX and price points. It's not the market that it may have been 3 years ago, where it was you versus WiMax. But obviously, that doesn't appear to be really impacting your trends, at all. And I guess I'd love your opinion on how much of this was really just a land grab that you won over the last several years in terms of your WISP partners really choosing just a single platform? Or do you think there is a risk that WISP partners could use 2 platforms at some point? And kind of what do you think -- how will the competitive dynamic change now that airMAX is becoming kind of a bigger, more successful business?
Robert J. Pera: Yes, it's a good question. So if you remember when we launched airMAX, we launched it in very early 2010, so it's over 3 years out in the field. And over the course of those 3 years, we're confidently finding issues and improving it and improving it and adding to the driver and making it more scalable, making it more noise resilient. And outdoor wireless, especially in the unlicensed band, with so much interference, it's very tricky. Every deployment has -- can have unique challenges. So airMAX has really evolved into a great solution over time. And not only the driver but we've added this great antenna portfolio, a very cohesive hardware and software approach and plug-and-play system with supporting applications and device management software. And to top that off, we built this huge community of followers that interact and help each other. So yes, there might be some similar solutions on the market, but just if they look on similar on paper, I don't know if they're necessarily a threat, until they're deployed in the field and they get approval.
Tavis C. McCourt - Raymond James & Associates, Inc., Research Division: Got you. And then you talked about before .ac serving as a catalyst for the airMAX business as well. And I'm wondering if you can quantify that a little bit? So, obviously, we're kind of aware of the throughput benefits in an enterprise setting, but talk a little bit about what that might mean to your WISP customers in terms of is it replacing existing airMAX systems with AC? Or just do you think it'll just be new networks or new sites that are built with the .ac version of airMAX?
Robert J. Pera: Yes, so from a technical perspective, airMAX was based on 11n, and we took advantage of MIMO signal processing multi-space time coding using antenna polarization to get basically 2 multi-flex, 2 data streams in the same frequency spectrum. Now moving to 11ac, it's kind of -- it's at a point of diminishing returns from a spectral efficiency standpoint. You do get a higher modulation. They up from 64 QAM to 256 QAM, which gives you about 30% better spectral efficiency. But you do need pretty high signal-to-noise ratios, which aren't common on average links. And then the other boost you get from 11ac is from widening the spectrum of channels. You can essentially double them from 40 megahertz to 80 megahertz. But in -- typically, in our networks, you want to use narrow spectrum channels as they're more -- they have better noise immunity characteristics. So overall, I don't think 11ac will be a huge boost on the multipoint side. On the point-to-point side, there will be a lot of applications taking advantage of the increased channel width to double and maybe potentially triple throughputs. So I see 11ac for airMAX, it will be very well received in point-to-point applications, probably not as significant in multipoint applications.
Tavis C. McCourt - Raymond James & Associates, Inc., Research Division: That's helpful. Craig, if I look at the balance sheet this quarter, I'm guessing ideally, you probably would have wanted [indiscernible] inventory on your balance sheet, that looked like it was down a bit. And so I'm wondering... [Technical Difficulty]
Operator: All right, we'll take the next question from Tim Long with BMO Capital Markets.
Timothy Long - BMO Capital Markets U.S.: Yes, I'll follow on where Tavis was going. It was on my list as well. So maybe just talk a little bit about, obviously, you've done a lot to get the lead times down and inventory went down last quarter. But you're looking at another pretty significant uptick in revenue. Could you just give us your sense as to your comfort around ability to ship and hit those numbers coming in with a little bit less inventory than you've probably had from a coverage standpoint in prior quarters?
Craig Foster: Yes, so I mean, the game for us, obviously, is that we need to continue to build appropriate buffer, so we can meet our, what I would consider, unprecedented demand for the company. We're adding capacity at all factions of the business, and so there's a supply chain component to that. There's contract manufacturing and there's our shipping through warehousing, et cetera. So the infrastructure that we have in place is actually quite flexible, which plays to us. Now last quarter, we ended inventory a little bit lower than I'd like to be. But more of that's just we have a lot of stuff that's planned production for the quarter. But I don't see any real hiccups for us in terms of being able to meet our demand going forward.
Timothy Long - BMO Capital Markets U.S.: Okay. And then somewhat related, when you look at some of the measures you've put in place to help you with visibility onto your shipments, it looks like that's gotten a little bit better. Can you talk about that and maybe just give us an update on how you feel about visibility and how far you think you can see into the demand that the WISPs are seeing? That would be helpful also.
Craig Foster: Yes. So as we've -- we work very closely with our distributors to get information from them in terms of what their sell-through is. So we have -- roughly 90% of our revenue, we know where -- our distributors, we know what their inventory levels are, what we're shipping to them and what they've sold over the quarter. In terms of what -- so we have a good deal of visibility in kind of what's happening in the channel at a very micro level. As we look to further projects, what we've done is we've implemented a program in place where we're actually more integrated into the forecasting system of our key distributors who are working with the WISPs and service providers. So we're extending beyond just the visibility into the distributor and trying to work with the -- understand what's happening in the end market channel.
Timothy Long - BMO Capital Markets U.S.: Okay. And then just a last quick one, if I could just follow up on the gross margin. I get the volume benefit going forward. Is part of the strategy, and we don't -- you're not going to share what new categories you may go into, but is part of the strategy or vision that a higher percentage of the new categories that you enter will have a higher gross margin? Or is that fully dependent on what happens with the direction the company goes?
Craig Foster: Well, I think it's really entirely dependent on the actual market that we're participating in. So it's -- when you have high-volume, lower-cost items like UniFi, there's a margin profile that fits for that. And then if you look at items that we have, like airFiber, which is $3,000 per link, there's a different margin profile for that. So it's kind of a balance of volume and price disruption. So each -- we're going to continue to evaluate each one of those separately. But the one thing that's constant is every market we're going to come into, we're going to attack it with disruptive pricing.
Operator: Our next question comes from the line of Sanjit Singh with Wedbush.
Sanjit Singh - Wedbush Securities Inc., Research Division: Just a couple quick questions on airMAX. You've now reached the levels of the high that you achieved last year before some of the legal and counterfeiting issues. So just going forward, in terms of what you expect out of airMAX, is it more just cleaning out of the hole or does the growth profile kind of sustain the growth [ph] you had done prior to the issues from last year?
Robert J. Pera: I see it as a combination. I think we're recovering some of the revenue that was taken from the counterfeiters, but there's also a significant growth going on.
Sanjit Singh - Wedbush Securities Inc., Research Division: Great. And then wanted to talk a little bit about the geographies. U.S. had a pretty amazing quarter, I would say, nice sequential growth, and in South America as well. What drove the -- or what's the driver for the U.S. improvement this quarter? Was it the store that you set up? And did you see any impact from some of the challenges that were going on, I think, with the protests and stuff in South America, since that's a particularly important region for you guys?
Craig Foster: Okay. So in terms of the store impact, the store is somewhat irrelevant in terms of our financial profile. And we only started selling UniFi in the store post quarter, so it's not really part of financials you see in front of you today. In terms of the regions, something I mentioned last quarter is that we were going to spend more time in terms of understanding what the right product levels needed to be in different regions. And that's something we worked really hard on last quarter. So if you remember from 3 quarters ago, 4 quarters ago, we'd have 3 regions up and 1 region down, 2 regions up, 2 regions down. And it was just poor management of inventory levels within the different regions. So I think what you saw this quarter is it's not like there was a surprise in demand. It was us better managing what the inventory levels need to be in different regions.
Sanjit Singh - Wedbush Securities Inc., Research Division: Got it, that's really helpful. On UniFi, how much of the sales are to your non-WISP customers? I saw a lot of big university wins this quarter. I saw a promotion out there where you're giving out a trial access point for a Cisco or Aruba access point. What's the penetration like at this stage to the non-WISP part of the market?
Craig Foster: Yes, I think it's actually -- I think that's where, I think, a majority of the people that are using UniFi are non-WISP customers. So we've built a brand new market but we're using the same distribution, the same leverage points that we have built into the model.
Sanjit Singh - Wedbush Securities Inc., Research Division: On a sales process, when you sell to like some of these larger universities, what's the sales process like? Is the end customer hypothetically with the university? Are they -- is there some sort of bake-off that's going on, Aruba versus you guys or Netgear or something like that? How does that win happen?
Craig Foster: So for us, when we win these opportunities, we're not directly involved. So we have a service provider, and usually the service provider bids on the contract and then they have an underlying technology or they provide a series of underlying technology propositions. And then as we know, and especially in the education market, it's very price-sensitive, so as you look to price performance, that's -- those are easy wins for us.
Operator: Our last question comes from the line of Amitabh Passi [UBS Investment Bank].
Amitabh Passi - UBS Investment Bank, Research Division: Robert, I just wanted to maybe see if you can help clarify some of the demand dynamics again. So a lot of strength in airMAX and, again, the big regions that were covered were North America and EMEA. And I'm just trying to get a sense, is it basically you selling more product to your existing customer base? Do you think that footprint of your customers is expanding? Is there any incremental insight you can give us, just in terms of the dynamics in the fixed broadband access market -- fixed wireless broadband access, sorry?
Robert J. Pera: I can't give you specific data points, but I can say just across the board, our community traffic is up. We're gaining more and more entrepreneurial WISP operators, new platforms. UniFi's increasing significantly, the demand. So overall, things are just trending up.
Amitabh Passi - UBS Investment Bank, Research Division: Okay. I guess I'm just surprised because I know in your opening comments, you also talked about eventually the goal was to penetrate a lot of the emerging markets, but it's interesting that most of the strength seems to be coming from your developed geographies, so I was just trying to make sense...
Robert J. Pera: Yes, yes, so I think one thing we can say is Brazil is doing very well for us. Eastern Europe, areas like Czech and Poland and Hungary and the Baltics, Russia starting to get more penetration. I think Africa, we're starting to get more penetration. I think the big opportunities are India and China for us over the next several years. And we're very different. We're not a relationship company. We break down relationships and we deliver technology value. So those areas of the region or areas of the world that want to bridge or improve social inequality with technology value, we're perfect fits for those areas. Other areas of the world that are more political just need more time to break down these relationships impedences [ph] and realize that our stuff is the best thing for those areas. And it takes time but I'm fully confident, in several years, we'll be a huge brand also in those areas as well. So we're just trending that way, so with Internet and transparency it's very hard to keep these compartmentalized information and build out these collusion forces when the world is having access to everything on the Internet. The best product is going to win out. The best value is going to win out. And that's, I think, why we're positioned well for the future.
Amitabh Passi - UBS Investment Bank, Research Division: Excellent. Craig, I had a couple for you, just on the income statement and your balance sheet. How do we think about your OpEx, you're down to about $10 million a quarter. Should that, as a percent of sales, continue to trend down or should we think about it in absolute dollars? And then any thoughts on use of cash?
Craig Foster: Okay. So let's start with the OpEx stuff. We're going to continue to invest in R&D, and so we have a pretty optimized R&D spend, but I think it will continue to creep up for us, and the value that we get from our R&D spend is off the charts. At the SG&A line, last quarter, we made some improvements. Some of our legal stuff is winding down a bit on the counterfeiting cases. And so I think it's flat to slightly down is probably where we'll be. And then on the uses of cash. We continue to have quite a bit of cash overseas, and we spend quite a bit of money with our contract manufacturers and our team overseas. In fact, over 1/3 of our company is actually located overseas. We continue to look for ways to optimize the cash just on the return, and we continue to evaluate different opportunities to increase our margin profiles. But we don't have anything definitive right now.
Amitabh Passi - UBS Investment Bank, Research Division: And maybe just one more on your working capital metrics. I think your cash conversion cycle was 0 this quarter. I'm just thinking how do we think about AR days, do they sort of normalize into the 40-day range? Do you intend to hold them here? And your payables have also expanded pretty nicely. So I'm just trying to get some sense of what's normal in terms of your working capital metrics?
Craig Foster: Yes, so I think our days sales outstanding, I think it's too low. We've had -- our demand has just been incredible. So when you have high demand and you're channel driven, people tend to pay their bills early and on time to reserve their spot. I think the natural spot for us is somewhere in the kind of 45 range for DSOs. But we've done a really good job in terms of consolidating what our credit profile looks like for our customers. And then on the AP, I think we're kind of at the -- we're at the tail end of kind of the optimization we can make there.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect, and everyone, have a great day.